Operator: Good day, and welcome to the B&G Foods Third Quarter 2021 Earnings Call. Today's call, which is being recorded, is scheduled to last about one hour, including remarks by B&G Foods management and the question-and-answer session. I would now like to turn the call over to Ms. Sarah Jarolem, Senior Director of Corporate Strategy and Business Development for B&G Foods. Sarah?
Sarah Jarolem: Good afternoon and thank you for joining us. With me today are Casey Keller, our Chief Executive Officer, and Bruce Wacha, our Chief Financial Officer. You can access detailed financial information on the quarter in the earnings release issued today, which is available at the Investor Relations section of bgfoods.com. Before we begin our formal remarks, I need to remind everyone that the part of the discussion today includes forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer you to B&G Foods’ most recent Annual Report on Form 10-K and subsequent SEC filings for a more detailed discussion of the risks that could impact our company's future operating results and financial condition. B&G Foods undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. We will also be making references on today's call to the non-GAAP financial measures, adjusted EBITDA, adjusted EBITDA before COVID-19 expenses, adjusted net income, adjusted diluted earnings per share, and base business net sales. Reconciliations of these financial measures to the most directly comparable GAAP financial measures are provided in today's earnings release. Casey will begin the call with opening remarks and discuss various factors that affected our results, selected business highlights and his thoughts concerning the outlook for the remainder of fiscal 2021. Bruce will then discuss our financial results for the third quarter, as well as expectations for 2021. I would now like to turn the call over to Casey.
Casey Keller: Good afternoon. Thank you, Sarah. And thank you all for joining us today for our third quarter earnings call. The company's performance in the third quarter was strong. Base business net sales, which excludes Crisco, grew at plus 9.2% versus the same period two years ago, accelerating from plus 7% in Q2. With the addition of Crisco, our Q3 2021 net sales are ahead of last year's COVID period. Bruce will talk categories and brands later, but we are generally seeing strength across the portfolio. Most of our key categories performed well when compared to 2019’s pre-pandemic third quarter results. Net sales of Green Giant and spices & seasonings were up double digits compared to 2019. Net sales of Ortega and Las Palmas are two leading Mexican food brands, were up high single digits compared to 2019. Our baking brands also had a strong performance for the quarter compared to 2019, led by Crisco, Clabber Girl, Baker's Joy, etcetera. While demand was strong, resulting in elevated sales. We are also managing through many of the same challenges to supply chain and costs that have plagued the industry. Inflation in full year 2021 is in the mid single digits, with the second half increasing to a double digit increase across the portfolio. As discussed last call, inflation on Crisco is significantly higher than the base portfolio, given the major increases in soybean and canola oil. We have responded with significant price increases, where appropriate raising list prices and or optimizing trade to directly offset higher input costs. While we did accurately to identify and address inflationary pressures, the majority of our price increases are effective in the second half, with the largest increase on Crisco effective at the end of September. We project continued inflationary pressure into first half 2022 and we’ll price to recover year-over-year cost increases. Additionally, we're driving aggressive cost optimization efforts to offset continued inflation. From a supply standpoint, we continue to deal with shortages in packaging materials, freight delays and contract manufacturing capacity. However, overall customer service levels are improving in recent weeks, aided by lifting allocations on Green Giant SKU with the new crop pack. Our goal is to manage our business to stable steady margins. For the current portfolio, the goal is roughly an 18% adjusted EBITDA margin, with pricing and productivity actions recovering cost pressures on margins. Longer term, our goal is to improve to a 20% adjusted EBITDA margin with a creative M&A, efficiencies and some base business organic growth. In the near term, inflation will make that more challenging, but we believe that is the right target for this business. During the third quarter, we successfully completed the integration of Crisco. And I want to congratulate our team for a smooth transition. Crisco is our second largest acquisition, and we are happy with the performance year to date under our ownership, despite some volatility in commodity prices. In August, we also announced that we reached an agreement to sell our Portland, Maine manufacturing facility. We expect the sale to close during Q1 2022. While shutting a factory is never an easy decision, it became clear the 100 year old Portland facility had reached the end of its useful life and was no longer cost competitive. The site will become the future home of the Roux Institute at Northeastern University, which is a great outcome for the Portland community. We also continue to make investments in our existing facilities, including a new high tech automated line in the Ankeny, Iowa spices and seasonings facility, as well as new lines that are Hurlock, Maryland and Yadkinville North Carolina facilities to increase our capacity for Ortega Taco Sauces and Taco Shells respectively. So finally, after four months in the business, I wanted to share the key priorities and choices that we -- the B&G team are laser focused on. First, managing B&G Foods effectively through the current inflationary and pricing environment; second, improving organic growth performance beyond COVID recovery; third, focusing on brands and categories where we have the capabilities, scale and right to win in terms of both resources and structure; fourth, making disciplined acquisitions that are creative to our portfolio; and with our core expertise in centre store dry distribution;, and fifth, accelerating cost savings and productivity efforts to eliminate non value added costs and strengthen margins, so more to come on those in future calls and discussions, including specific plans and updates. I will now turn the call over to Bruce for a more detailed discussion of the quarter. Bruce?
Bruce Wacha: Thank you, Casey. Good afternoon, everyone. As Casey mentioned, we had a strong financial performance during our third quarter, despite a very challenging operating environment. Net sales continue to be elevated and are tracking closely to the initial set of assumptions that we used to create our annual budget for fiscal 2021. Similar to our plan for the year, we are showing an acceleration in net sales growth, as we go through the year when compared to last year, and our pre pandemic 2019 numbers. As we continue to work our way through the balance of the year, we are approaching a period that we expect to be more similar to last year still not quite normal, with more Americans eating at home more frequently than they did pre-pandemic, but also no longer laughing the height of the pantry loading that coincided with the early days of the pandemic. The result is that, after adjusting for the impact of Crisco, and the impact of an extra week in last year's third quarter, we not only have a net sales increase compared to 2018. But we also have sales trends that are much more similar to those during last year's COVID-19 enhanced third quarter. Separately, but not entirely unrelated industry-wide supply chain challenges, and input cost inflation has served to catch some of the upside that we would otherwise be seeing as a result of this robust demand. For some of our brands, this means that sales could be higher, absent out of stocks for certain items. For many of our brands, we have the sales, but margins are challenged relative to what we typically expect from a portfolio. Input cost across our portfolio generally continue to be up mid-single digits for most products with extreme cases for certain products like soybean, and canola oils, transportation, and napkins which are all up double digits. And like virtually everybody in the food manufacturing industry, we are aggressively increasing price where appropriate, plus cutting costs were possible to protect profitability and ensure the long term viability of our margin structure. Now, for the third quarter 2021 highlights. We reported net sales of $515 million adjusted EBITDA before COVID-19 expenses of $96.4 million. Adjusted EBITDA of $96.2 million, and adjusted diluted earnings per share $0.55. Adjusted EBITDA both before and after COVID-19 expenses, as a percentage of net sales was 18.7%. Net sales of $550 million was up $19.2 million, or 3.9% from Q3 2020, up $108.7 million, or 26.7% from pre-pandemic 2019. Crisco which we acquired in December 2020 generated $71.2 million of net sales in Q3 2021 ahead of our forecast for the quarter, and well ahead of our understanding of 2018 net sales for the same time period under prior ownership. Based business net sales, which primarily excludes Crisco decreased by $52.1 million, or 10.5%, in the third quarter of 2021, when compared to the third quarter of 2020. As a reminder, when comparing to our previous performance in our base portfolio Q3 2020 not only included COVID-19 enhanced sales, but also the benefit of an extra week due the timing of our 53rd week in 2020, which we estimate benefited net sales for the third quarter of 2020 by approximately $35 million. The negative comparisons to 2020 are driven by a decline of $68.5 million in unit volume, which is offset in part by $14.5 million benefit from an increase net pricing, inclusive of list price increases trade spend optimization, and a little bit of mix. Foreign exchange added $1.9 million of benefit. On a year-to-date basis, the cumulative benefit of net pricing index is approximately $27.3 million. Base business net sales, which primarily excludes Crisco were up 9.2% compared to 2019, representing a two-year compound annual growth rate of 4.5% over our pre-pandemic net sales. Our base business net sales growth in the third quarter of this year represents continued sequential acceleration in growth versus 2019, relative to our performance in this year's first and second quarters. We generated adjusted EBITDA of $96.2 million in the third quarter, a decrease of $8.4 million or 8.1% when compared to the prior year period, but an increase of $10 million, or 11.5% compared to 2019. The decrease in adjusted EBITDA versus Q3 2020 was largely driven by the reduction in base business volumes coupled with increases in input costs, including materially higher costs for raw materials, factory labor and other costs, transportation and warehouse spending, and one fewer reporting week. These costs were offset in part by locking in prices through short term supply chain contracts, advanced commodities purchase agreements, implementing cost savings initiatives, coupled with lowest price increases, trade spend optimization and the addition of Crisco to the portfolio. Adjusted diluted per share was $0.55 in Q3 2021 compared to $0.74 per share in Q3, 2020 and $0.54 per share in Q3 2019. The majority of our key brands had declined the net sales when comparing Q3 2021 to Q3 2020. However, approximately two-thirds of the decline resulted from one fewer recording week of net sales in Q3 2021 versus Q3 2020. The majority of our brands had substantial increases in net sales when comparing Q3 2021 to Q3 2019. In some cases, for brands like Ortega, and our spices and seasonings business, which were up compared to 2019 the upside was kept by limitations on production. In other cases, for brands like back to nature and New York style, supply chain constraints resulted in declines in net sales when compared to prior years. Net sales of Ortega were $37.6 million in the third quarter of 2021 represent an increase of $1.6 million or 4.2% compared to the third quarter of 2020 and an increase of $2.6 million or 7.3% when compared to the third quarter of 2019. If we had unlimited manufacturing capacity, net sales growth for Ortega would have been even higher. Demand for Ortego taco sauce, taco shells, taco seasonings and salsa remain very strong. And as Casey said previously, this is a category and a brand that we will continue to invest in and where we believe that our recently added capacity for sauce, Shells and seasonings will lead to increased performance in 2022. Net sales of Las Palmas were $9.1 million in the third quarter of 2021, representing an increase of $2.5 million or 37.1%, when compared to the third quarter of 2020, and an increase of point $6 million, or 7.3%, when compared to the third quarter of 2019. Last year Las Palmas was an early harbinger of the industry wide supply chain lows that we continue to see today. And as you may recall, that last year at this time, we were unable to fully meet demand for a tomato sauces. Our Las Palmas issues have fortunately been resolved this year, which helps to account for the large increase versus Q3 2020. Spices & Seasonings continues to be one of the leading drivers of our portfolio. Net sales of our spices and seasonings including our legacy brands such as accent and Dash, and the brands that we acquired in 2016, such as Tones and Weber were approximately $92.9 million, a little bit less than 20% of our total company net sales for the quarter. Net sales of spices & seasonings were down by approximately $14 million or 13.1% compared to Q3 2020. The shortfall is driven primarily by capacity constraints, as demand outran our supply and manufacturing capacity. While this phenomenon is getting better, and we expect will be alleviated in part by some additional capacity that we have coming on in the fourth quarter of this year or in early 2022, we are also lapping a massive quarter for spices & seasonings in last year's third quarter. When comparing Q3 2019, net sales of spices & seasonings were quite strong and increased by approximately $10.3 million or 12.5%. We are now largely through the 2021 pack season, and fully caught off on supply for Green Giant. The result is an acceleration of performance beginning in the second half of the third quarter and continuing today. Green Giant generated net sales of $141.2 million in the third quarter of 2021, which well down $17 million or 10.7% when compared to Q3 2020 is up $20.9 million or 17.4% when compared to Q3 2019. Assuming a healthy holiday season in November and December, we expect continued strength for Green Giant net sales through the fourth quarter of this year. Among our other large brands, Maple Grove Farms, which generated $20.2 million in net sales for the quarter was down $0.5 million or 2.4% compared to Q3 2020 and up $2.7 million or 15.3% compared to Q3 2019. Similarly, Cream of Wheat, which generated $15.2 million in net sales for the quarter was down $1.2 million or 7.4% from Q3 2020, but up $1.2 million or 8.5% compared to Q3 2019. We generated $105.7 million in gross profit for the third quarter of 2021 or 20.5% of net sales. Excluding the negative impact of a $14.1 million accrual for the estimated present value of a multi-employer pension plan withdrawal liability that we expect to incur upon the closing of our Portland manufacturing facility and $2.8 million of acquisition, divestiture related in non-recurring expenses, including cost of goods sold during the third quarter of 2021, gross profit would have been $122.6 million or 23.8% of net sales. Gross profit was $136 million for the third quarter of 2020 or 27.4% of net sales, excluding the impact of $0.1 million of acquisition divestiture-related and non-recurring expenses, included in cost of goods sold during the third quarter of 2020, gross profit would have been $136.1 million or 27.5% of net sales. During the third quarter of 2021, gross profit was negatively impacted by higher than expected input cost inflation, including materially increased costs for raw materials, factory expenses and transportation. We have attempted to mitigate the impact of inflation on gross profits by locking in prices for short-term supply contracts and advanced commodities purchases agreements, and by implementing cost savings measures. As discussed earlier on the call, we also executed list price increases and reduced trade promotions for certain products. The short term result is that margins have been pressed – impressed relative. So we expect business to generate in the short-term. And while this trend may continue into our fourth quarter and early 2022, we do expect our efforts to return to business to its historic margin profile over time. Selling general and administrative expenses were $46.4 million for the quarter or 9% of net sales. This compares to $43.4 million, or 8.8% for the prior year, and $38.1 million or 9.4% in the third quarter of 2019. The dollar increase in SG&A compared to a year ago levels is almost entirely driven by a $3.5 million increase in warehousing costs coupled with $3.3 million incremental acquisition related and non-recurring expenses, which primarily relate to the acquisition and integration of the Crisco brand and the sale of our Portland facility. The increase in warehousing costs was primarily driven by the Crisco acquisition and customer finds relative to COVID-19 shortages and delays. These costs were partially offset by decreases in selling expenses of $1.7 million consumer marketing expenses of $1.2 million and general and administrative expenses of $0.9 million and one fewer reporting weak  As I mentioned earlier, we generated $96.4 million in adjusted EBIT DA before COVID-19 expenses, and $96.2 million in adjusted EBITDA in the third quarter of 2021. This compared to adjusted EBITDA of $104.6 million in Q3, 2020, and $86.2 million in Q3 2018. Interest expense for the quarter was $26.6 million, compared to $26.4 million in the third quarter last year. The primary driver of the increase in interest expense was the acquisition of Crisco, which, as you may recall, was financed in its entirety with a combination of revolver draw and incremental term loans. The revolver currently costs us a little less than 2% in interest, and the term loans a little less than two or three quarters percent. Depreciation and amortization are also up year-over-year driven primarily by Crisco. Depreciation expense was $15.3 million in the third quarter of 2021, compared to $10.9 million in last year's third quarter. Amortization expense was $5.4 million in the third quarter of 2021 compared to $4.7 million in last year's third quarter. We are tracking to an effective tax rate of approximately 26% to 26.5% for the year, with taxes a little higher and this year's third quarter, due to some discrete tax items at an effective rate of 26.8% for the quarter compared to 24.7% in last year's third quarter. We generated $0.55 in adjusted diluted earnings per share in the third quarter of 2021 compared to $0.74 per share in Q3, 2020 and $0.54 per share in Q3 2018. We remain encouraged by these trends. Despite tough comparisons against 2020 and continuing supply chain challenges driven by the ongoing COVID 19 pandemic, we still expect to achieve company record net sales for the year of $2.05 billion to $2.1 billion representing a mid single digit increase in net sales compared to 2020 and a mid -- mid to high single digit increase in base business net sales compared to 2019. And while adjusted EBITDA margins will remain challenge this year due to higher than expected input cost inflation, including increased cost of raw materials, factory costs, transportation and warehouse costs, we also expect to generate adjusted EBITDA of $358 million to $365 million for the year. Also similar to what we discussed last quarter, we expect the following for full year 2021. Interest expense of $105 million to $110 million, including cash interest of $100 million to $105 million, depreciation expense of $60 million to $65 million, amortization expense of $21 million to $22 million, and an effective tax rate of approximately 26% to 26.5%. I'll now turn the call back over to Casey for further remarks.
Casey Keller: Thank you, Bruce. As I said at the beginning of the call, we had a fairly strong quarter despite lapping elevated COVID-19 demand and an extra week in Q3 2020. We remain on track to deliver the mid to high single digit growth against 2019 that we set as a target for the year, and we continue to implement pricing actions to offset inflation in the portfolio. This concludes our remarks. And now we would like to begin the Q&A portion of our call. Operator?
Operator: Thank you. [Operator Instructions] I will take the first question from the line of Andrew Lazar with Barclays. Please go ahead.
Andrew Lazar: Great. Thanks so much. Good afternoon.
Casey Keller: Good afternoon, Andrew.
Andrew Lazar: Couple things, I guess first off, just been thinking about full year guidance and what that implies for 4Q. In 3Q, I think on a two year basis, EBITDA was up about I think 13%, again, versus 2019. And I think the implied two-year rate of growth in 4Q is over 20%. So, obviously, you think growth on a two-year basis accelerates. So I'm just trying to get a sense of, I guess, the rationale behind the acceleration when generally speaking, as you've talked about, and pretty much everybody else in the industry, the environment probably getting somewhat tougher, rather than easier in terms of costs, and supply chain and labor disruption and things like that? That'd be a first question, please.
Casey Keller: Yeah, I mean, I'll lead Andrew and then Bruce can talk some of the numbers. But – so I think one thing to remember here is that, we took some pretty significant pricing actions, which were fielded in Q3, but really are not becoming effective until the very end of this quarter, September, late September, which is obviously our biggest increases in cost and pricing, and also a number of portfolio pricing actions, which are becoming effective in the middle of October. So I guess one thing I would say is that the flow of costs started coming into our P&L in Q3, but the real big flows of pricing are coming in mostly in Q4. So that's a little bit of, I think, a change maybe from the flow of how Q3 and Q4 go in the past. And in terms of the supply disruptions, I would say we did have a significant supply issues in Q3, our service levels went down a little bit in Q3 from Q2. But the most – our most recent weeks, we've started to recover some of our supply -- some of our customer service rates, and some of our supply issues are beginning to get better. One of the big things is, obviously, the new crop on Green Giant, which we've basically taken the Green Giant can business off allocation, which we've been on for months now. So we're now able to ship to demand for that. So, you know, we're starting to see supply issues get a little bit better, but I think you correctly pointed out that we're not going to be out of the woods and a lot of them. But I expect that, you know, we'll have some – some gradual improvement in the fourth quarter. And then getting better in the in the first quarter.
Bruce Wacha: And Andrew, just as a reminder, during last year's fourth quarter, Green Giant can was actually on allocation. And so we would be lapping a period where we restricted ourselves. And then obviously, last year, we closed on the Crisco acquisition on December 1. And so we have that for one month of our results in last year's fourth quarter. But we would have it in in all three months.
Andrew Lazar: Right. No thanks for that. That's helpful. And then we think about pricing. Obviously, a lot of the pricing, you said is starting to become more effective in this quarter that we’re in, I think price was up about 3% overall in 3Q. I'm trying to get a better sense of how that price piece, year-over-year increase in price in the P&L might look in sort of 4Q going into 2022. For a sense of how much that that steps up from the 3% that we saw in this quarter?
Casey Keller: Yeah, I think you're going to see a big step up in the fourth quarters is because of the way our pricing actions take, we're effective in the trade. So, the Crisco – Crisco is probably half and the significant increase on Crisco is effective September 27. So, you know, that's what that is. We saw the oil costs flowing into our P&L Q3, but because of the lead time that required by customers we got it – it became effective on September 27. Some of our other higher cost input categories also will be effective in the middle of October. So, you know, and those, obviously that pricing will carry into 2022 for three quarters of the year.
Andrew Lazar: Yeah, perfect. And then just lastly, maybe just a quick comment on, at least thus far, it's early, but how you're seeing sort of elasticity play out, and I think you're up, maybe nearly seven times levered or so may have borrowed some additional funds quarter-over-quarter, just trying to get a sense, again, of the flexibility right on the balance sheet from the dividend and such, and how you see that, thanks so much.
Casey Keller: Yeah, and leverage not seven times, based on our covenants, a different calculation, actually close to 6.49 times, I think. Just a couple of reminders, third quarter is, is really the finish of the pack plan. And so when we think about inventory, and working capital and leverage that usually kicks in the third quarter as far as where it is for the rest of the year, and we leaned in heavy this year, when you think about some of the issues that we suffered. Last year, the demand was extraordinary for some of our Green Giant products, but we didn't have enough inventory, we had to go on our station, the demand continues to be incredibly strong for Green Giant, particularly on the shelf-stable side. And as a result, plan this year was to lean into that pack plan, part one to restore some of the inventory that we didn't have, at the tail end of last year's pack plan. So we were starting from a lower safety, stock standpoint, and then lean in a little bit more. So we had the capacity to satisfy the demand that we're seeing. And that's our expectation. And that's part of why the trends on Green Giant are accelerating, particularly on the on the shelf-stable side, whereas we were running on fumes at the end of last year, or at the end of the second quarter.
Bruce Wacha: And the only other thing, I'd say that Andrew is that, obviously there's the higher cost -- higher costs flow into our inventories where we have an inflationary inventory adjustment going on in Q3 because that's probably the predominant step up that we're going to have in our working capital. So it's the green giant pack, which we took the pack that in frankly, we're selling very nicely against that starting in the fourth quarter. And it's the step up in the valuation of our inventory as a higher inflationary costs.
Andrew Lazar: Thank you both so much.
Operator: Your next question will come from the line of William Reuter with Bank of America. Please go ahead.
William Reuter: Good afternoon.
Bruce Wacha: Good afternoon.
William Reuter: Given the volatility with a lot of these inputs, in terms of your locking in prices for some of them next year, have you started doing that? I guess some of these maybe coming down over time. So, I guess what has been your comfort with trying to, I guess take risk in some of them?
Bruce Wacha: Really depends on the category. And so there's some things really where we're seeing inflation as Casey said, a lot of the portfolio is mid single digits. But there are some areas that are extreme, so we think about cans, we think about some of the oils, Crisco, for example. And some of those areas we -- a little bit heavier to make sure we are locking in price out of those price increases.
Casey Keller: I think honestly, the way we look at it is, you know, what we can we and we want to we lock in with as much, forward contracting as we can on the most volatile commodities like say soybean oil, are -- what we are -- what we do is, we will increase coverage when we see prices increasing. And we will decrease coverage when they think they press it or they're going down. So right now, nobody knows really what's going to happen on soybean oil. But I would say, we're not necessarily increasing coverage on soybean oil at this current, mid 60s price per pound. So yeah, but we were increasing coverage in the first half of this year, when we saw prices increasing, we increased coverage at lower rates, which is why we had kind of the first half of the year, we had better costs because we had forward bought or before contracted for prices, when it was lower?
William Reuter: Yeah, that makes sense. Yeah, no, that does help. And then with regard to your leverage still continuing to be a little bit elevated and all the uncertainty in the market, is there a leverage number you would want to get down to before you would consider pursuing additional M&A? Or if there was something that was extremely opportunistic, would you consider yourself in the market in the relative near future?
Casey Keller: So we're very focused on getting our leverage into the 4.5x to 5.5x anything that’s the goal. When it comes to evaluating M&A, we've got to evaluate opportunities in that context. And the obvious answer to your question is at current leverage and today, if we were going to look at something in the M&A, you would either have to be a relatively modest sized transaction or it would have to be structured so that it wasn't increasing our leverage, both from a purchase price and valuation standpoint and then also from a mix of how we funded it.
Bruce Wacha: And the answer is, the near term question we would like to get leverage down below, at 6 or below in the first and second quarter of next year.
William Reuter: Great, very good to hear. And I'll pass to others. Thank you.
Operator: Your next question comes from light of Michael Lavery with Piper Sandler. Please go ahead. 
Michael Lavery: Thank you. good evening.
Bruce Wacha: Hey Michael.
Michael Lavery: Just wanted to come back to some of the price mix dynamics, can you touch on the mix please, maybe a little bit related to [indiscernible] or just which categories you're taking pricing in versus others, but any mix shifts you would expect or that you can flag and maybe what you've seen from some of the pricing so far, or, just anything we should be watching out for as we think about modeling the next few quarters?
Bruce Wacha: Yeah. I think I know, Andrew, so we didn't answer it. But I think it is, it's probably important to talk about elasticity. Because in the last call, we said, we're taking some sizable increases on some of these businesses based on input costs. And it's pretty early days on the significant increases I talked about becoming effective in September, October. But I would say early on, we are seeing lower elasticity than we originally forecast. But it is early days. So in other words, we model that a little bit higher elasticities, but now that we've seen lot of industry movement and food. And we have seen frankly private label and other branded businesses moving in many of our categories. We're seeing lower elasticities then a little bit lower elasticities than what we originally expected.
Michael Lavery: Okay, that's helpful. And just back on some of the fourth quarter or implied fourth quarter outlook. It's historically been a quarter that tends to have some of the most surprises and like Andrew also touched on, it's clearly got some unusual volatility at the moment. So can you help us to understand maybe what you're -- I know, you've laid out some of the reasons you're pointing to build the numbers, but what you're sort of conservatism is or level of competence relative to the prior years. And, just how to think about what cushion there might be in your in your numbers?
Bruce Wacha: I mean, we gave the guidance numbers for this for the year. And obviously, we felt confident enough to give those numbers implies a fourth quarter. To answer your question to make sure there's we're in an uncharted territory still in terms of the dynamics in the world and what's going on and COVID. We hadn't had EBITDA guidance for this year until this quarter we thought it was appropriate to do so going into the fourth quarter.
Ken Romanzi: Okay. I would say two things. One is October is off to a good start in the fourth quarter. And the other thing is, I think, we provided guidance, which says we feel there's a little upside to the consensus.
Michael Lavery: Okay, great. Thanks so much.
Operator: Your next question comes from the line of Karru Martinson with Jefferies. Please go ahead.
Karru Martinson: Good afternoon. In terms of the co-packe pressures, what are the types of contracts that you have in terms of securing that capacity? And how are we looking for the rest of the year and into 2022?
Bruce Wacha: Our contracts will vary depending on what specific category or product that we're co-packing. Honestly, we usually try and get a longer term agreements. But I would say in the COVID, excuse me, the supply environment that we've been in the last six months that we're not always having suppliers, honoring those commitments. So, I mean, frequently, they're basically -- they're trying to meet their overall surgeon demand from their customers. And we are typically trying to negotiate how much we can get of what they have available. In some cases, they've had labor shortages themselves, which has reduced our ability. So it's really a case-by-case basis. But we tend to have longer term agreements and commitments. It's just in this environment. They have come back to us and said they can't meet everything that I was asking for. And we've had to kind of work through that on an individual basis. But, I will tell you that on some of our bigger contract manufacturing, we are back to nature business. We are seeing more capacity coming our way in the fourth quarter. So we're starting to feel better about some of the available capacity we have from our contract manufacturers on a certain key items, but we are still dealing with some suppliers who have shortages or labor problems or other things they can't meet our full needs.
Karru Martinson: And on labor, where are you guys on for your facilities in terms of meeting the labor needs?
Casey Keller: I would say, we have a some facilities that we are understaffed. So we're not able to get full staffing or everything that we want. So, it's just the hiring environment, there's just not near the availability of the -- there's not available candidates for us to pull in. So we have probably three to four facilities where we're understaffed and where we really want to be. Right now, we're making that up with changes in shifts and overtime and other things. But, we're trying very, very hard to recruit to get the full staffing at some of our facilities like Ankeny, Tone's Spices, like our Yadkinville plan, North Carolina, to get the full staffing by offering incentives and some different some different schedules and other things to be able to get ourselves back up to full staffing. But I think almost everybody in the industry is dealing with this right now. And you read about the labor shortages. So it's something we have to manage through. I am concerned about it. But we don't have facilities where I would say we're severely understaffed. We're just not at the full staffing levels we would like to be at.
Karru Martinson: Thank you very much, guys. It’s pretty good.
Casey Keller: Thanks Karru.
Bruce Wacha: Thanks Karru.
Operator: Your next question comes from the line of Carla Casella with JPMorgan. Please go ahead.
Carla Casella: Hi. I'm just curious how much of the inventory increased significantly sequentially as well as your and I'm just warning, can you give us a sense for how much of that is just the cost built into it Or if you're actually keeping extra stock in any products? It sounds like your short everything, but any details you can give, that would be great.
Casey Keller: Yeah. There's really three parts to that. Just in terms of context. Last year through the third quarter, we increased inventory by about $7.7 million. This year, we increased it by $177 million. So that's kind of the context for the numbers. And the reasons for that, last year, in the second quarter and really the tail end of the first quarter, we were sitting on inventory. And due to the inventory we had, we were able to fulfill most of those COVID sales and not really worried about the pricing problems. And so we liquidated a lot of inventory in the early days of COVID and at the peak of COVID. And then we had our pack plan, restore some of that for Green Giant. This year, we had to build that inventory. I don't have the specific numbers broken down in terms of what was inflation versus what was loading up on new inventory. But, certainly we've talked to the inflation that we're seeing in the full year and kind of what we expect for the PAC here. So that should give you some context. But we typically load up on inventory and we've got large purchases for the PAC plan. And then, in other areas where we think that there's inflation coming, we also bought ahead of some of those costs increases. And we're concerns around supply chain, we also bought early to make sure that we have the quantity to get us through the end of the year. And that's kind of the plan. And so peak level of inventory for the year in the third quarter like it normally is, but this year, even higher just given the world that we're living in.
Casey Keller: To simplify that--
Bruce Wacha: I'm sorry.
Casey Keller: This is Casey, just simplify that answer. I would say half -- more than -- a little more than half of the increases from the cost -- from cost going up inflation in terms of the value of the inventory. The only unit increases really in our inventory are higher pack on Green Giant to meet the needs of the business because we didn't get a full pack last year and we had to go on allocation. So, we got you know pretty much 95% of what we wanted this year, which is a big change year-over-year in the unit. And then the addition of the Crisco business which we did not have at the end of the quarter three last year. So, those are really only the unit changes, everything else we're -- is really just cost step up on inflation. Does that help?
Carla Casella: Yes, it does. And it sounds like a lot of that will release -- some of that will release for fourth quarter, but some of the Green Giant pack may be over several quarters?
Casey Keller: Yes, and if you look, historically, that's typically what happens is, you do see a nice decrease in inventory in the -- going from the third quarter into the fourth quarter, as well as typically outside of US where we've done M&A fairly significant deleveraging. And then continue to sell down that Green Giant, first quarter second quarter into the -- to the beginning of the pack.
Carla Casella: Okay. And then just one other on that main facility sale, is that that the $3.8 million of assets held for sale? Is that what we should expect in terms of the cash proceeds coming in?
Bruce Wacha: Yes, that's just relative to the value. We haven't disclosed what the sale process price was. And that's probably something that will ultimately flow through our financials. So, certainly some transparency there and that number, but at the time that we signed the agreement, we did not disclose the sale price and not in a position to do so today.
Carla Casella: Okay, great. And did you quantify how much the out of stocks or the -- how much that took some sales? I heard you say significant, but did you give any kind of quantification?
Bruce Wacha: We did not.
Carla Casella: Okay. Thank you.
Operator: Your next question will come from the line of Eric Larson with Seaport Research Partners. Please go ahead.
Eric Larson: Yes, thanks. Thanks for taking the question. So, my question, again, is on Green Giant. And I guess the real question is, you now have some inventory, but your demand is still really strong, particularly shelf stable, both retail takeaway, is there a risk that you don't have enough inventory again this year? And are you rebuilding retailer inventories? Are they still pretty low? Are you shipping ahead of consumption? Or how should we kind of look at that whole dynamic? And I guess, it's the retail demand that that continues to surprise us.
Bruce Wacha: So, we'd hate to run out of product, but it would be a nice problem to have, if we sold through all of our inventory, add an extra pack. Like I said, we leaned in pretty heavy this year. We're confident that we've got the sales come into sell-through all that inventory. But that was a conscious that we made.
Casey Keller: I mean, this is in the frozen side of the business, our retailers don't have a lot of inventory, that this isn't a category that they'll really rebuild heavily. So, there was a little bit of re-piping, probably in late September timeframe, but for what we're seeing is pretty solid demand on Green Giant, and we're shifting very nicely in the first part of the first quarter -- the fourth quarter. So, -- and as Bruce said, we always expect to sell through the inventory that we that we get in the pack at the end of Q3. We sell-through it pretty consistently. The -- we do get some additional pack in the spring. So we'll have some vegetable categories coming back in the spring that will do, but a lot of things we're going to have to manage for the next several quarters.
Eric Larson: Okay. Thanks. And help me out on this. And you may have talked a little bit about this. I think that demand yet for Ortega is stronger than your ability to meet that demand. Is that the only product line or do you have several others where you're still modestly capacity constrained and I know that you've got labor shortages and things such as that, but I think the one that stood out was Ortega, are there others?
Casey Keller: There are -- and it's hard to complain when you've got sales at the levels that we have, because they're especially when compared to 2018. And some of the brands, but on a brand-by-brand basis, there are some areas where we don't have enough to meet that demand. And so you get a nice lift. Ortega would be one, Las Palmas would be one. Spices and seasonings would be another area where we could have a lot more sales, if we could just snap our fingers and get product. We can't. So sales are up compared to 2019. They just could be up more. There are other areas reference them early Back to Nature, New York Style, even Static Guard, for example where we could get more sales. But we just can't get access to the product for various reasons on Static Guard. Canisters, Crisco sprays. Crisco sprays that was robust as the Crisco sales where there's a sprays business there that were struggling to get product. And so 
Bruce Wacha: Canisters.
Casey Keller: It's just varies brand-by-brand overall sales around, but on brand-by-brand you can find areas where you just wish you had more product.
Bruce Wacha: Yes. I think there's two constraints that we're working through. One is kind of packaging materials or supplies, like the canisters for Static Guard, Crisco sprays, in some cases as caps and caps liners for spices and seasonings. And then there's where we have real constraints, we just agreed to and off allocation, we talked about that we have a full crop this year. So we're able to meet that demand. But we're investing in new lines on taco sauce Ortega, and on taco shells Ortega. So those will be coming on by the first quarter. And we have a new line going into our spices and seasoning facility and a chef line to be able to support additional capacity where we can support all demand now. And that should be coming on in the next quarter. So we do have -- we have investments in new capacity. But we're also trying to work through material shortages to maintain full supplies.
Eric Larson: Okay. Great. That's helpful. Thank you. Operator Your next question will come from Ken Zaslow with Bank of Montreal. Please go ahead.
Ken Zaslow : Good evening everyone.
Casey Keller : Hey, Ken.
Ken Zaslow : When you talk about the businesses, and I'm actually reading into something, but I just kind of wanted a clarification is from the past, I don't know, five, seven years, it doesn't never seem like there was a thought process of really segmenting out certain brands and investing behind them a little bit more aggressively. I get the sense that there are certain brands that you've kind of cleared out in your head at least, that you might be thinking, hey, when we get through this, and we get capacity, that we're going to start to actually spend a little bit more aggressively on rather than just holding the growth at whatever rate the market gives us. One, is that a fair assessment? And which grades would it be, I assume it's our table in Green Giant, but are there others? And is that the way to think about it?
Helmy Eltoukhy: I think your framework is right. So, and that's the work that I'm doing now, after having kind of dug into the business for the first several months. We're now looking at, where do we believe that our focus by, and I would say not only by brand, but by category, where are the categories and brands that we believe, we have good capabilities, we can get some organic growth out of those businesses. We have good assets. And we believe that, those also can be platforms for us to acquire businesses a future, where we can add value. And so there's a very clear definition of what those categories are. I'm not going to talk about it today, because we're still working through all that. And then I think there's some businesses that we're going to say, what we're going to manage these businesses for stability. And we're going to try and kind of maintain, the top of the bottom line of those businesses. But we're not going to put a lot of resources, energy and intensity behind those businesses. But there are very, there are clear categories. And I'll say one is spices and seasonings, we've been very successful in spices, seasonings, we have a great asset, we've proven that we can work that business across, retail and other channels. We've got a good portfolio of branded strength. We've gotten some procurement expertise in that area. It's a – it's a business that I think we can grow, and it's nice margin. And I think, it's a business that we can grow successfully, organically, but also look in the future to where we can bring in inorganic growth. So and well, I mean, at some point, we will come out and kind of give you guys a lot more specificity around this. But suffice to say that, we're going to decide where we want to focus, and where we're going to, not only invest, but put resources and structure ourselves to grow this part of the portfolio. And then pick the parts of portfolio that we – that we want to kind of run, lean and mean and make sure that we just stabilize. But not expect a lot of growth and not put a lot of resource behind. And the algorithm of that to me, we're trying to get to some top line organic growth, and then really find a platform that we can acquire and grow value.
Ken Zaslow: I see. When you begin to segment and you think about this? Do you think there's an opportunity to accelerate your top line growth more akin to other packaged food companies rather than kind of keeping it stable? And then the second part of that, I'll leave it here is, when you think about your 18% to 20% EBITDA margin is 20% the plateau or is that – is that a milestone for somewhere else to go? Just how do you frame those thoughts? And I'll leave it there, and I appreciate your time.
Helmy Eltoukhy: Yeah, I think – on – let's take the topic, on the growth, I believe. So we've in the past kind of signaled were really low growth closer to zero. I personally believe that, we can get – we can get 1% to 2% organic growth in this total portfolio by looking at where do we want to grow? And where do we not want to grow? And being a little more choice full about how we manage it. And that we've gotten some, we started to get some traction in some of the areas where I think we can do that. I mean, I would even like look at the Ortega, Mexican platform and say, we we've gotten very nice growth out of that. And I see opportunity to do that in the future with more capacity. So I – yes, do I think we can get a little bit stronger growth? Yes. Do I think we're going to get up into the where some other CPGs are? I'm not sure yet. But I think we can get better than where we have been. Let's put it that way. And, we're working on that now and working on those plans and algorithms, as we speak. On the margins, for me, it's -- I think we need to get the margin at 18% and begin to move it up from there and show some margin improvement over time, which I think is very possible. The 20% is kind of a goal that I see us getting to in the next several years with improving our mix or growing on the right businesses, thinking about what acquisitions are really accretive to our margin profile. So the 20% would not be the endpoint, but I think it's a good goal for us to work towards in the next couple of years.
Ken Zaslow: I appreciate it. Thank you, guys.
Operator: Your next question comes from David Palmer with Evercore ISI. Please go ahead.
David Palmer: Thanks. And another question on Green Giant, the data, the IRI data is looking like it's down mid teens on a one year basis in the last quarter, as obviously some good reasons for that, but lots going to change here in the near term, with increased shipments and the pricing that you presumably will be taking there. If you're doing what your plan is, what should we be seeing in the IRI data in the coming months? What sort of improvement?
Casey Keller: Yes. We've been looking -- so we're seeing nice growth starting to happen on the business relative to 2019. So that's kind of what how we're looking at it, how do we build and grow from a 2019 base. Year-over-year is a little bit muddy, but I expect that will start showing better trends against last year as well. But I think you should expect to see us growing versus that two-year-ago base in Green Giant in the fourth quarter.
David Palmer: Got it. Where I'm seeing that -- 
Bruce Wacha: Yes. And just to be clear, Green Giant was one of the categories and brands that had the biggest benefits from COVID. And so, hard to lap some of those numbers until we really get to the period where you are on allocation.
David Palmer: Yeah. Okay. On two years, we're seeing it down 3%, frozen in the last 12 weeks. So your thinking is you can get above -- back to positive two-year versus that.
Bruce Wacha: In the fourth quarter, were expecting it to turn positive. And I think if you look at the most recent weeks where even -- we're just about getting there.
David Palmer: Got it. And you mentioned that the inflation rate, the core inflation was mid single digits. But there was also some other areas of COGS that were up double digits. What is the overall COGS inflation? And if you're breaking it out by the -- your COGS in terms of where you're having the inflation, does that say something about how you think about pricing strategy, where there's some pass through categories? And I thinking of Crisco, specifically, if that's a sort of category that has a little bit more of a cost plus type pricing to it as a category?
Casey Keller: Yes, I think two answers may clarify what I said. I mean, we're actually seeing, on average inflation for the full year of 2021 in our actual costs of about 7%. If you look at it, it's lower in the first half of the year, where we’re covered on a lot of commodities, and costs hadn’t escalated yet. Then the second half of the year where on average, our inflation and our cost is probably more in the low double digit -- low teens use me. So I think you have to think about the flow of how costs have come into our P&L this year. So on average, it's 7%. But going forward, we're looking at inflation in the low single digit, low double digits, low teens, let's put it that way. And I think that's going to continue into next year, so that's how we view inflation, how we look at it. And yes, it's quite different by product category. So -- and we price based on that. So we price our products and work with our retailers on pricing to recover costs that we actually see on individual product lines. And so Crisco would be the place where we had the most significant increase because of the cost of Canola Oil is going basically 2x from where it was a year ago. So our pricing plans, take that into account, and so we have, looking at inflation on Crisco, that’s our highest category. It’s is also our highest category in terms of pricing to recover.
David Palmer: Thank you.
Operator: It appears there are no further questions at this time. I'll turn the conference back over to management for any additional comments or closing remarks.
Casey Keller: Thank you, operator, and thank you all for being on the call. We look forward to talking to you in future discussions and calls and thanks for your attention today.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation and you may now disconnect your lines.